Operator: Good day and thank you for standing by. Welcome to the AFC Gamma Incorporated Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be question-and-answer session [Operator Instructions] I would now like to hand the conference over to Gabriel Katz, Chief Legal Officer. Please go ahead.
Gabe Katz: Good morning and thank you all for joining AFC Gamma's earnings call for the fourth quarter and full year 2021. I am joined this morning by Leonard Tannenbaum, our Chief Executive Officer; Jonathan Kalikow, our Head of Real Estate; Robyn Tannenbaum, our Head of Origination and Investor Relations; and Brett Kaufman, our Chief Financial Officer. Before we begin, I would like to note that this call is being recorded. Replay information is included in our March 10, 2022 press release and is posted on the Investor Relations section of ASC Gamma’s website at afcgamma.com, along with our fourth quarter 2021 earnings release and investor presentation. Today’s conference call includes forward-looking statements and projections that reflect the company’s current views with respect to, among other things, future market growth and developments, financial performance and projections and originations in 2022. These statements are subject to the inherent uncertainties in predicting future results and conditions, and certain factors could cause results to differ materially from those projected in these forward-looking statements. New risks and uncertainties arise over time, and it is not possible for the company to predict those events or how they may affect these statements. Therefore, you should not place undue reliance on these forward-looking statements. Please refer to AFC Gamma's most recent filings with the SEC for certain significant factors that could cause actual results to differ materially from these forward-looking statements and projections. During this call, we will also refer to distributable earnings, which is a non-GAAP financial measure. Reconciliations of net income, the most comparable GAAP measure to distributable earnings, can be found in AFC Gamma's earnings release and investor presentation available on AFC Gamma's website. The format for today’s call is as follows; Len will provide introductory remarks, an overview of our fourth results and full year 2021 performance and strategic commentary; Jon, will discuss AFC Gamma's portfolio; Robyn will discuss the origination pipeline and Brett will summarize our financial results. We will then open the line for Q&A. With that, I'll now turn the call over to our Chief Executive Officer, Leonard Tannenbaum.
Leonard Tannenbaum: Thank you, Gabe, and good morning and welcome to AFC Gamma's earnings call for the fourth quarter fiscal year 2021. I'd like to thank our analysts and investors for joining us today to discuss our fourth quarter and fiscal year results. Before turning to our fourth quarter results, I'd like to briefly discuss what our goals were for 2021 and what we accomplished. During the year, AFC Gamma completed its initial public offering and began operating as a public REIT. This step has allowed us to accomplish several goals, including valuable access to public debt and equity markets, which provides AFC Gamma with an attractive cost of capital relative to its peers. We ended the year in a leadership position as one of the largest institutional lenders in cannabis with a reputation for being a consistent relationship lender. Looking at our goals from the beginning of last year, we accomplished almost everything we set out to do, and I am extremely proud of our team for the hard work and dedication. First we targeted $300 million of gross originations and exceeded that goal by generating $341 million of gross originations in 2021. Second, our goal is to increase book value, driving return for our shareholders. We increased book value per share by 12% from $14.83 on December 31, 2020 to $16.61 on December 31, 2021. This increase does not include the positive impact of the accreative offering completed in Q1 2022. Third, our goal is to declare increased dividends quarter over quarter. We declared initial dividend per share of $0.38 for Q2 2021, and increased that by approximately 32% to $0.50 in Q4 2021. Over the year, we further augmented our in-house capabilities to continue providing our borrowers with customized financing solutions. We are proud of our growing platform with over 25 employees headquartered in West Palm Beach, Florida. We are also pleased to have seven research analysts covering AFCG, providing valuable information to our investors and the broader investment community. Looking forward to 2022, we remain very excited about supporting the rapidly growing cannabis industry and the opportunities ahead of us. Although we had a slow start to the year, with $47 million of gross originations, we remain confident in our active pipeline and the targets we have set for ourselves in 2022. During Q1 2022, AFC Gamma made the decision not to close two deals because of issues that serviced us during due diligence, which we could not overcome. At this time, we believe that during 2022, we will generate between $500 million and $700 million of gross originations with anticipated repayments between $100 million and $200 million, bringing us to a net origination's target range of $300 million to $600 million. We intend to fund these commitments with a combination of debt and equity and are currently targeting a debt to equity ratio of approximately 0.5 times at the end of 2022. We continue to remain focused on developing the best cost of capital among the limited number of alternative lenders in the industry. I believe we have all the necessary components in place to scale this business and serve the rapidly growing industry. During the fourth quarter, we continued to execute on our pipeline which led to record originations. We closed on new commitments of $127 million and had net fundings of $121 million during the fourth quarter. Our portfolio of over $400 million result in the distributable earnings of $0.52 per basic weighted average share. This increase in earnings drove a 16% increase in our quarterly dividend from $0.43 per share in the third quarter to $0.50 in the fourth quarter. Since going public in each of the last three quarters, we have generated earnings in excess of our dividend. For 2021 AFC Gamma distributed approximately 91% of distributable earnings, which resulted in carrying over $2.1 million forward into 2022, which as a REIT we can do on a tax free basis. Moving on to our portfolio, as of March 04, 2022, we have 14 borrowers operating in 16 states. We remain focused on creating a portfolio that's diversified across states and borrowers. Currently our portfolios comprised of 100% first lean loans. We're pleased that at this time we have no loans that are -- we have no loans -- pleased that at this time we have no loans that aren't -- all our loans are current and performing. When evaluating which states to lend to, we prefer lending to operators in limited license markets as we believe licenses in those states have additional value as form of security. Additionally, during our underwriting, we evaluate the supply and demand dynamic into each state and where pricing for pound is trending. Currently, AFC Gamma has not lent to any borrowers with primary operations in California, Washington, Oregon or Oklahoma, four states that have continuously experienced pricing pressure and have unlimited licenses. Due to adverse marketing conditions in these states, we believe that many operators may experience declining earnings, which may negatively impact lenders in these states. Earnings may be lumpy quarter order quarter. Due to difficulty in a potential deal repayments -- in estimating potential deal repayments and forecasting the times of deal closings. Repayments tend to cause an increase in income due to a write-up of OID as well as the receipt of an exit and/or prepayment penalties. As I stated earlier in 2022, we are currently expected to experience between $100 million and $200 million of repayments as the portfolio continues to mature. We are pleased that our board has declared a quarterly dividend of $0.55 a share for the first quarter this year payable on April 15 to shareholders of record of March 31. This dividend represents a 10% increase over the prior quarter and is the third consecutive quarterly increase in our dividend as a public company. Consistent with the past three quarters, we expect to generate distributable earnings at or above this dividend level in the first quarter of 2022. On an annual basis, our dividend policy is to pay between 85% and 100% of distributable earnings over the year. I will now turn the call over to John.
Jonathan Kalikow: Thank you, Len. As the portfolio has begun to evolve and mature, we wanted to begin highlighting certain portfolio management aspects of AFC Gamma's operations. The goal of our portfolio management is several fold. First, to maintain a strong relationship with our borrowers. We monitor their operations and credit its strength over time through regular dialogue, financial reporting and covenant testing, along with ensuring that the company's loan is performing. Regular dialogue with each borrower allows us to be able to act quickly, should a borrower need to modify or expand a loan. For example, we recently were able to increase loans to three existing borrowers, Brono, Nature's Medicines and the Travis to finance their new growth initiatives. Second, we want to make sure we can anticipate any potential issues with a borrower. For instance, monitoring the financial covenants of the company provides us with knowledge as to the trajectory of their business and provides our team with the ability to look ahead towards issues that may arise in the future. In scenarios where a company may not be performing as expected, we can work with them to diagnose the issue and find a remedy, a remedy which may include borrowers investing additional equity, changing, or delaying future plans or posting additional collateral. Third, our portfolio management team must understand the market dynamics in the states in which our borrowers operate as this will help inform our origination decisions in pricing. We remain focused on lending in limited license states and monitoring the supply demand dynamics in each state, which are ever evolving. Portfolio management remains a cornerstone of what we do and we are pleased to announce that at this time, all of the loans in our portfolio are current and are performing. I will now turn the call over to Robyn.
Robyn Tannenbaum: Thank you, Jon. As a reminder, AFC Gamma is an institutional lender to the cannabis industry. The loans that we make are typically secured by three pillars, cash flow, licenses, and real estate. The companies that we lend to are domestic single and multi-state operators, which include those that are privately held as well as those listed on the Canadian exchanges. We see ourselves as a relationship lender, financing cannabis operators to build successful businesses. Our origination platform is focused on both expanding loans with a variety of our existing borrowers and continually sourcing new borrowers. From January 2020 through March 4, 2022, we have sourced over $13 billion of transactions, which represents over 500 deals. We continue to expand our lending platform while maintaining a high degree of selectivity. When sourcing deals incumbency has proven to give us an important edge, to date during the first quarter of 2022, we increase commitments to three existing borrowers by $47 million. The pipeline remains strong with an active pipeline as of March 4 of over $1 billion. Yet it remains difficult to predict both the timing of converting those deals and closing those deals. The active pipeline may fluctuate quarter over quarter, as we close transactions, especially as larger transactions move from active to closed. The origination team continues to work hard to ensure the pipeline remains robust and we're evaluating many deals in the market. Before turning the call over to Brett, I would like to highlight a little bit about AFC Foundation. AFC Gamma's three founding partners have personally pledged to donate $250,000 to the AFC Foundation over the course of 2022. Since Cannabis is a regional business where operators become rooted in their local communities, AFC Foundation collaborates with AFCs borrowers to identify charities positively impacting lives in the state they operate in. As president of AFC Foundation in collaboration with organic remedies, a vertically integrated cannabis company that operates under a clinical registered licensed in Pennsylvania, I'm excited to announce that AFC Foundation's first donation was made this quarter to the Pennsylvania court appointed special advocate association or PA CASA. PA CASA's mission is to grow, strengthen and unite local CASA programs as they work toward ensuring that every neglected child in Pennsylvania has access to the service and support of a trained CASA volunteer. AFC Foundation and organic remedies are pleased to support PA CASA as they advocate for underserved Pennsylvania youth. I look forward to highlighting another deserving organization and borrower next quarter. I will now turn it over to Brett to review our financials.
Brett Kaufman: Thanks Robyn. Hello everyone and thank you again for joining us here for AFC Gamma's earnings call. We are pleased to report strong results in the fourth quarter and fiscal 2021. Beginning with our quarterly results for the fourth quarter ended December 31, 2021, we had GAAP net income of $7 million or earnings of $0.43 per basic weighted average common share. For the three month ended December 31, 2021, we generated net interest income of $13 million and dis distributable earnings of $8.5 million or $0.52 per basic weighted average common share. We ended the fourth quarter of 2021 with total assets of $465 million as compared to $304 million at September 30, 2021. On an annual basis for the year ended December 31, 2021, we earned GAAP net income of $21 million or earnings of a $1.57 per basic weighted average common share. In 2021, we generated net interest income of $37 million and distributable earnings of $24.7 million or $1.85 per basic weighted average common share. We ended the fourth quarter of 2021 with $366 million of principle outstanding spread across our 16 borrowers. As of December 31, 2021, AFC Gamma portfolio consisted of $419 million of current commitments with $364 million funded. So far in 2022, we've closed additional $46.9 million of new commitments, we sold a $15 million short term debt security investment, and also funded $49.4 million of our new and existing commitments. As of March 4, 2022, we had $430 million of current commitments with $381 million of principle outstanding across our 14 borrows. The weighted average portfolio yields on maturity, which is measured for each loan over the life of such loan was approximately 19% as of December 31, 2021, compared to the weighted average yield to maturity of a portfolio of approximately 21% as of September 30, 2021. Currently the weight average portfolio yield to maturity is still approximately 19%. As mentioned on our last earnings call, we believe providing distributable earnings is helpful to stockholders in assessing the overall performance of AFC Gamma's business. Distributable earnings represents the net income computed in the accordance with GAAP, excluding non-cash items such as equity compensation expense, any unrealized gains or losses, provision for current expected credit losses also known as CECL or other non-cash items recorded in net income or loss for the period. As of December 31, 2021, the CECL reserve represents approximately 1.2% of our loans at caring value. On January 14, 2022, AFC Gamma paid a dividend of $0.50 per common share for the fourth quarter to our shareholders of record as of December 31, 2021, which represents an increase of 16% from the third quarter. During 2021, AFC Gamma declared dividends of $22.6 million in aggregate, which represents approximately 91% of AFC Gamma's distributable earnings in 2021. Earlier today, AFC Gamma announced its upcoming dividend of $0.55 per common share for the first quarter of 2022 to be paid on April 15, 2022 to shareholders of record as of March 31, 2022, which represents an increase of 10% from the previous quarter. At the end of the fourth quarter, our total stockholder's equity was $273 million and our book value per share was $16.61 as compared to $14.83 as of December 31, 2020. The increase in our book value per share as of December 31, 2021, compared to the end of 2020 was primarily attributable to our IPO and follow-on equity offering in the first and second quarter of 2021, respectively, each of which were accretive to our book value. During the December quarter, we received an increase in our credit rating from Egan Jones, moving us to a DDD plus investment grade rating. On November 03, 2021, we closed our 144A debt offering of a $100 million aggregate principal amount of senior unsecured notes. These notes have a fixed cash interest rate of 5.75% and do not mature until 2027. We also completed our second equity offering since the IPO in January of this year, issuing approximately 3.3 million shares of common stock, which provided AFC Gamma with approximately $63 million of deployable capital.  Last year's IPO was a significant milestone in particular because as a NASDAQ listed Public Company, were you able to utilize both public and private debt and equity markets as we work to maintain and improve our cost of capital. As we approached the one year anniversary of our IPO, self-registration eligibility is another tool, that may assist in strategically executing more efficient, lower cost capital markets transactions. With that, we will now open the call to questions. I will now turn it back over to the operator to start the Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Gaurav Mehta with EF Hutton. Your line is open.
Gaurav Mehta: Yeah. Thanks. Good morning guys. To question on your, on your loan commitment. In your prepared remarks, we talked about slow start to the year with $47 million of gross originations as of March, and then you gave a range of $500 million to $700 million for gross originations for 2022. So, what do you attribute the slow start to the year two? Is that just the timing? And then the range that you guys gave $500 million to $700 million it seems like that range compares to the $700 million number that you provided on the last call. So has anything changed in your view of the loan commitments or it's just ring that you guys didn't provide last quarter?
Brett Kaufman: Okay. So just good, great questions. As I said earlier in the call, there were two deals that we expected to close that we were document and during our diligence period, which is extensive, we decided not to do those two deals for a variety of reasons. And so being very selective is important to us, especially in this environment. And so that's one reason why this quarter is a bit lighter And, but at the same time, we're a lot of confidence cause we have a great pipeline and that we've built over time. And as a reputation, we're getting a lot of referrals and re-ups from our existing parties. So we feel confident currently that we can get hit this $500 to $700 million number. You probably can draw the conclusion that if we've only done 4$7 million to-date, that that has to pay it got pretty a lot in the next 10 months. So I think that's a natural conclusion to do, but you are right. We did take effectively take down our estimate from $700 million to $500 to $700 million of gross originations from the last time. So I, I do think it moved down and we wanted to give a range. It could hit $700 million, but I'm less confident that that that happens partially because the turbulence in the markets we, we, we want to be careful about how we, how we issue equity and how we raise equity. And so we really care about increasing value for our shareholders, increasing that increasing and maintaining our dividend and trying to increase book value over time. And, that may in this market environment that may not allow us to raise a lot of equity this year. So we have to be more selective on the deals that we do, which is actually really good for the portfolio.
Gaurav Mehta: Great. And second question on your yield. Your portfolio yield to maturity is 19% as of March. Do you expect that you'll be able to maintain that kind of yield for the end of 2022?
Brett Kaufman: So I've been really positively surprised, first of all, the market turbulence and the increase even in yielding in the high yield markets which is pretty obvious, really has helped us if you look at purely bonds and how they trade and you guys can call the different brokers to see that they're, they, they were issued a par and they're trading somewhere between '96 and '98, so even one of the industry leaders, is traded down somewhat. So I think that that should widen spreads across that's one of the industry leaders, then everything sort of keys off of those types of high, high performance credits. And so I think we are going to be able to maintain better yields this year than I would've expected before. I can't tell you what that's going to be, but I was positively surprised to see it maintain at 19% quarter-to-quarter.
Gaurav Mehta: All right. Thanks for taking my questions today.
Operator: Thank you. Our next question comes from Gerald Pascarelli with Cowen. Your line is now open.
Gerald Pascarelli: Hi, good morning. Thank you very much for taking the questions. Can -- can you talk a little bit more about your outlook for the prepayment I'm still going through the [indiscernible] here and it looks like there's been a little over a million dollars prepaid thus far in one queue, if I'm looking at that number, Right? So number one is, is that correct? And then number two, I guess what's driving your underlying assumption for that to pick up. I would assume it's from maybe some of the top credits that are -- that are seeing lower interest rates, now than maybe in a year ago, period, but would just love you to provide any color on your on your expectations there?
Leonard Tannenbaum: So we're actually seeing, so I expect that last year, if you as we talked that we would see lower interest rates this year versus last year, but I didn't ex we didn't know where the market environment was. So I think this market environment and the constraints on the capital, but still the high demand for capital to build out, to build out these states is it's allowing us to maintain yields for now in the, in this really nice, 19% range of yield to maturity. So, so we're pretty pleased about that as, as we really don't want to get into the, the business, it is, it'll be difficult for you guys, the forecast earnings as, as you can, as you, as I said, we declared a $0.55 dividend that, and we earned at least $0.55 this quarter. And so that's great and we want to continue paying dividends at, or below our earnings. And that's our goal over to over the course of the year. So we had a good quarter, we, we already know that first quarter is a good quarter and obviously some of that since is going to be from repayments. And I -- we can see today that that's going to continue in the second quarter and the third quarter of this year. So my estimate of a hundred to $200 million, I feel pretty comfortable about that too, is that we're going to get that money back at us and be able to redeploy it, which really generates very high IRS which, which is great for our investors.
Gerald Pascarelli: Got it. That's, that's helpful. Thank you. I guess, given where the equity markets are and, and some of your previous commentary it seems like future debt raises are, are, are likely in the cards here. Given the, the triple B plus rating has anything changed in terms of your expectations on what your own cost of capital would be relative to, to, to your first to your first debt raise? Or do you expect, the rates to be that the headline rates that that is to be relatively similar to what you have on the books today? Thank you.
Leonard Tannenbaum: Well, I want to layer in senior or debt. And so one of the things we've talked about in the last  couple of calls, but we haven't yet executed on, but intend to execute on is bringing in some really good banks to lend to us on the senior side. And we're still in that process of working on that. And so I think that cost of debt is really great. We are somewhat limited, and I would never, I wouldn't go too high either on senior debt in terms of you could read our bond and debenture and we could do up to 25% in senior, but it still leaves us a lot of room from zero today and zero, and that debt, should be even a lower cost than the bond. If I were to issue more bonds today in today's volatile the market environment, my expectation is it would be very similar rates similar pricing to the last raises. My hope was that it would be, cheaper pricing, but I don't think that would happen in today's environment. I think all interest rates are a bit higher.
Gerald Pascarelli: Got it. Thanks very much for the color Leon, I'll pass it on.
Operator: Thank you. Thank you. Thank you. Our next question comes from Aaron Hecht with JMP Securities. Your line is open
Aaron Hecht: Morning. Thanks for taking my questions. In your pipeline has the expected investment mix between MSOs and smaller operators changed at all. And are you seeing any divergence in yields across either of those segments versus the last quarter?
Leonard Tannenbaum: I think the pipeline mix is similar. It really hasn't changed much between MSOs second-tier operators and, and the single state operators, which is how we divide up the three buckets. What I will tell you is MSOs that thought they could get such great yields and they have, and executed really, I believe in this market environment that that's not sustainable. And you can see that in the way they're trading even truly is trading down. You have purely trading down, you have Columbia care that sucked a lot of the wind out of the market capital out of the market on their last raise. So that's really good for, us to have to have really the, a lot of the institutional clients are full of cannabis. They don't want more cannabis exposure that have played in cannabis before. There really aren't a lot of new entrants to the market. So this is a really good environment for the alternative lenders in general. And I expect yields to hold up because of that.
Aaron Hecht: Understood. And in terms of competition have you seen any, any increase, I guess, especially on the smaller operator side?
Leonard Tannenbaum: No. I think the same players in this market that were a year ago, and we just haven't seen new entrance to the market in competition. I think one surprise, if, if any surprise in competition, some of the banks are taking swings here on the $10 million to $20 million type by size. And so sometimes we're in a deal and they're like, wait, we can get $20 million at 6%. It's like, great, go take it. Now that comes with a lot of hooks and caveats and, and other things too, that I look. I think ultimately if you see some legislative change, the end of the year more banks will participate in the market. And I think that's really healthy, but right now that's the only, and it's not really a change. That's the only time we've really seen additional entrants.
Aaron Hecht: Thanks Leonard. Nice results.
Leonard Tannenbaum: Thank you.
Operator: Thank you. Our next question comes from John Heck with Jeffries. Your line is open
John Heck: Good Morning guys. Thanks for taking my question to, and congratulations on finishing a busy year. 
Brett Kaufman: Thank you.
John Heck: I, either some of this stuff has been touched on one way or the other, but I'm just wondering maybe a high level then, how does inflation affect the operators you into and just the overall industry construct?
Brett Kaufman: So I've given this enormous amount of thought, because one of my favorite things to do is think of macroeconomic strategies and CA money flows and how things affect. And especially as a lender with interest rates, how will those have offsetting effects which often happens. You'd expect, I would expect. And just thinking about this as a baseline comment, that inflation should benefit an industry that is, like, like anything that's to do with production of food or production of marijuana or production of whatever. Because inflation's good for that, right? You have a, you have a -- you have a cost of capital that's already invested and you're able to get more for the product that comes out of that cost of capital. And even though there's a labor component, the labor, component's not rising as fast as the inflation component. And so much of it is fixed cost, but I, but the inflation really benefits those operators that already have their infrastructure in place. It's actually really hurting those operators that are continuously building their infrastructure. Because I will, I'm going to throw out some guesses of numbers, but it's based upon a lot of data points that we have here that cost for construction is up at least 30%, if not more and the delays are substantial. And so what that's doing is to build that same indoor grow or greenhouse modified greenhouse grow cost you at least 30% more. So what that means is the existing operators that have existing infrastructure definitely benefit and it's harder and harder for new entrances to the market, which should start stabilizing and benefiting pricing. We haven't really seen the price turn yet, which I expected after October, but I, I, I can't Ima there's a lot of marginal producers that are going out of business and as that happens and new entrance can't build because the return on investments doesn't make sense. I do expect the prices will stay and or increase during the remaining of the year.
John Heck: Okay. That's, that's a very good thoughtful, help or helpful thoughts. The second question is you guys mentioned, you sold a small note of, I think around $15 million a quarter. I'm wondering what, how was the execution of that? Just to kind of give me a sense of how capital markets overall for, your type of asset class compares to other more generic types.
Brett Kaufman: So exactly. So we bought that note as sort of a cash management tool from a existing cannabis operator that, we felt comfortable with. And so then turned around and note when we had better ideas to deploy that capital at higher interest rates Seaport executed, both of those trades and they do an excellent job. In my opinion, Seaport does an excellent job trading really creating market bids and offers. And we have a very good sense of where the market is due to the, really the depth of their contacts and book.
John Heck: Okay. And then, and final question, you did touch on this line, you think possibly you're keeping it, the line-up, there's possibly something at the federal level by your end, but anything, any changes at the state level that are worth noting or would cause you to move faster or slow under a certain geography?
Brett Kaufman: So that as, as the political cycle starts moving towards this critical year, my expectation is my current expectation is that Schumer's[ph] going to pivot after 420 and push the safe act and hope act and, and the combination and that, that has a reasonable little chance of passing. We don't know what the components of the state act are or at all. And capital market is still not in there, but that's still my expectation for the fall. As for state-by-state is amazing to me how rapidly changing these states are, take New Jersey, for example, which should have been wrecked six months ago and still can't get their act together. And now, it's saying May and then it's June. So it's always another month to get that rolled out or New York, which is still trying to put together their program and should have been rec also. But we're learning a lot about the different states that we're operating in. One of our real core competencies is focusing on the data and focusing on the state by state supply and demand dynamic, but also how things are changing legislatively within the states. And so we continue to spend a lot of time talking to politicians, talking to governors directly and getting inputs into what's going on.
John Heck: Right. Thanks very much guys.
Brett Kaufman: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Mark Smith with Lake Street Capital. Your line is open.
Mark Smith: Hi guys. Leon, you called out some of this states where we're seeing, weakness in the cannabis industry, California, Washington, Oregon, et cetera. Are, are you seeing any weakness in, in any other states? Are you seeing this bleed in anywhere else in the market?
Leonard Tannenbaum: Oh, for sure. I mean, those states are going to have an enormous amount of defaults and problems and, and, and with cannabis prices continue depressed. I mean, we're talking about Cal California pricing went under $300 a pound and that's just beyond any marginal production, but of course the spillover effect you saw Arizona wholesale is probably down around a thousand dollars. Michigan has become super competitive on the low-end. What's, what's amazing to me, what's not amazing to me. What's, what's sort of, according to our thesis, the high-end has held up, but even the high-end gets hit when, when the, when the mid-tier drops that far. But the high-end is, is held up to at least double the, the base price of the mid-tier. And, but retail and Arizona has done well, right. Retail has held up really well. So I guess margins have increased on retail. If, if you're just in retail, we are really focused on making sure that we're vertically integrated as much as we can be in our, in our borrowers. And I think the vertical integration is really important from that risk mitigation because as prices go down it sometimes is a retail better retail environment. Sometimes if prices get constrained, it's much better to produce.
Mark Smith: Okay. And might be reaching a little bit on this, but, as we look at the deals that didn't close, can you talk about, was this kind of issues within the states where they operated or, or was it more so specific just to the deal and why those didn't close?
Leonard Tannenbaum: How do I talk specifically to the deals? But I will say the things that we're, we lend to as Robyn said, is licenses, cash-flows and real estate and a lot. And, and given the changing market environment, we we're, we're very focused on the ability of a company to repay I debt being lenders. And to, to the extent that we don't believe their business models and or think they need additional liquidity and, or under underestimating CapEx spend given this crazy environment where prices have gone up 30 plus percent and everything's delayed. We're really challenging those models and we're challenging those forecasts to make sure the company has adequate liquidity. And I think that's, that's caused us to really be, have a tighter filter until the bottlenecks and the delays, start, start unraveling. I think we've got to be very careful about making sure companies can have sustainable cash.
Mark Smith: Okay. And then the last one for me, just as we look at at, the growth that you kind of expect in the portfolio this year, can, can you wait kind of how you expect that coming from, current partners versus kind of new partners that you bring in?
Leonard Tannenbaum: So the, so over time when I manage the portfolio know we managed a 5 billion portfolio for 15 years. And in the beginning it was almost all new, obviously, because it's all new relationships at a, as a mature portfolio. We had about 50% of our, of our loans come from existing partners and 50% were new. In fact, if you look at business development companies in Aries Apollo, like any of them and they'll tell you, we originated whatever amount let's call it a hundred million, $50 million was from existing parties would lien loans. And then, $50 million was new loans. And I think that's, that's where a mature portfolio gets to. We're not there yet, but we definitely are trending in that direction because we're good partners to our, to our clients.
Mark Smith: Excellent. Thank you guys.
Operator: Thank you. And I'm currently showing no further questions at this time. I'd like to hand the conference back over to Mr. Leonard Tannenbaum for closing comments.
Leonard Tannenbaum: Well thank everyone for attending our call. We're really pleased with our results and excited about this year. And we look forward to reporting to you again in three months.
Operator: Thank you for your participation in today's conference. You may now disconnect everyone have a wonderful day.